Operator: Ladies and gentlemen, thank you for standing by. And welcome to the U.S. Physical Therapy Fourth Quarter and Year End Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions) Thank you. I will now turn the call over to Mr. Chris Reading, President and Chief Executive Officer. Please go ahead, sir.
Chris Reading: Thank you. Good morning, everyone. And welcome to U.S. Physical Therapy's fourth quarter and 2013 earnings call. With me here in Houston, Larry McAfee, our Executive Vice President and Chief Financial Officer; Glenn McDowell, our Chief Operating Officer; Rick Binstein, our Vice President and General Counsel; Jon Bates, our Vice President and Controller. Before I begin with some prepared remarks, I'll like ask Jon to cover a brief disclosure statement. Jon, if you would?
Jon Bates: Thanks, Chris. This presentation contains forward-looking statements, which involve certain risks and uncertainties. And these forward-looking statements are based on the company's current views and assumptions and the company's actual results can vary materially from those anticipated. Please see the company's filings with the Securities and Exchange Commission for more information.
Chris Reading: Thanks Jon. Before I provide some color on the quarter and the year, I want to cover a very brief review of the tangible factors impacting our industry this year. This will be important to understand when reviewing our results. In January of 2013, Congress announced the payment reduction that we will refer to on this call and in our release as MPPR. This began after Q1 of 2013, accompanying that was the impact of the sequester also enacted by our Congress. The total three quarter impact of those issues for us was approximately $0.22 in 2013 April through December. So as you look at the fourth quarter, as well as the full year for 2013 that perspective will be helpful to provide further context. For the fourth quarter revenue increased 10% due to a slightly greater than 11% visit improvement offset partially by small net rate per visit decreased to $105.47. Same-store visit growth was strong up about 4% for the quarter, which in turn put us in solidly positive territory on the year same-store growth. Gross margin for the fourth quarter improved 12.2% and operating income increased 12.9% compared to the fourth quarter of 2012. This improvement was achieved and included a company found overpayment by payor amounting to approximately $850,000 in one of our large partnership, which we have provided notice of and which is in the process of being refunded. Also effecting this fourth quarter is a tax adjustment true-up involving 2012 and 2013, which increased our effective 2013 tax rate to a little over 40%. Larry will cover that aspect in more detail here in a few minutes. For the year, revenues increased 5.8%, despite the significant MPPR and sequester impact on our final three quarters of 2013. Our industrial targeted programs through Fit2WRK continued to assist us in gaining new large clients and an improving our net rate and moving market share. For the year we saw slight increase on the net rate and continued improvement in our work comp payor mix. During the year, we were on the short runway position to respond to the MPPR and sequester reductions. However, we made considerable albeit probably not complete progress with respect to adjusting our cost structure. We will discuss this further in just a minute as I provide further additional color and context to our results. Overlaying all of this we had a terrific year in 2013 with respect to development. We made five great purchases of wonderful companies, three early in the year and two including the Atlanta Falcons deal, another large work comp centric deal announced late in December. These newest partnerships will be a tremendous addition to our company, providing us with additional further opportunity for continued organic growth and program expansion for the future. Our largest and final acquired partnership of last year fits in well with continued focus we have under our national Fit2WRK umbrella. This group led by talented and energetic group of men and women have developed the network of facilities and have been very responsive and successful in meeting the needs of industry. All of these deals completed in 2013 in combination with our strong base of organic legacy partnerships help to position our company well for the future. So back to the cost structure, relative to our cost structure, we added a great many organic and acquired locations in 2013. For new and acquired clinics our cost grew by $6.3 million. At the same time, we made real, although, probably not complete progress realigning our cost of our 2012 and earlier partnerships and facilities, reducing those costs by approximately $4.7 million, excluding the cost of repayment from approximately $850,000 on the overpayment discovered by us in the fourth quarter. Looking forward, we see continued mounting challenges for smaller private practices, which we believe will be a further catalyst to a consolidation of our industry. We see continued opportunity with our long 10-year partners to grow and further intensify existing markets with additional organic and program based expansion. We see much continued opportunity with the Fit2WRK initiatives and we see great deal of opportunity to continue to attract outstanding private practice owners to join our growing network of successful partnerships. Shifting gears a bit, this past year was one of facing significant headwinds on a very short runway and also making good foundational progress to precision the company for continued growth and opportunity. And while some of this wasn’t always pretty, I think we largely achieved that goal for 2013. Starting this year, we faced continued challenges due to the extreme weather that is consistently and so persistently been in the news around the country thus far this winter, including an ice storm even in South Texas just this past week. Our guidance provided in our press release and covered in detail momentarily by Larry, accounts for this Q1 weather impact in our annual guidance numbers. Remember we don’t provide quarterly guidance. Also embedded in that guidance is the impact of MPPR and sequester for this first quarter of 2014, which as I mentioned earlier was not in effect during Q1 of 2012 that is approximately $0.07 to $0.08 in cash. So let me wrap up my comments by saying that while this is not an easy time to be in health care, we still see much opportunity to grow and expand our company. We are blessed with the terrific partner group -- we’re blessed with the terrific partner groups around the country and an equally terrific team of talented and passionate people on the management support side of our business. We expect further growth and opportunity as we look ahead. With that, I’ll conclude my prepared comments and ask Larry to cover the financials in more detail.
Larry McAfee: Thanks, Chris. Chris hit many of the highlights of the fourth quarter. So I’ll just run through the annual results and if anybody has any questions relating to the fourth quarter or the full year then we can respond to them. For the year, net revenue increased 5.8% to $264.1 million due to a 5.5% increase in visits to $2.4 million and an increase in our average -- sorry, net patient revenue per visit to a $1.05 -- $105.83 from $105.50. Total clinic operating costs were $199.4 million or 75.5% of net revenues in ‘13 as compared to $186.7 million or 74.8% of revenue in 2012. The increase was attributable to operating costs of new clinics. As Chris mentioned, included in the fourth quarter and year 2013 operating cost as a pretax charge of $850,000 related to an estimated refund due to a payor for overpayments to a partnership clinic group over four year period. Without this charge, operating costs for clinics acquired prior to ‘12 would have been reduced by $4.7 million as Chris mentioned. Maybe we know we had set a target of $5 million for the year. So we -- as Chris related we came up little short. Clinic salaries and related costs were 53.7% of net revenues in ‘13 versus 52.7% in ‘12. Rent, clinic supplies, contract labor and other costs were 20% in ‘13 versus 20.1% in ‘12. The provision for doubtful accounts was 1.7% in 2013 versus 1.9% a year earlier. The company’s gross margin increased by $1.8 million in 2013 to $64.7 million. The gross margin percentage for the year was 24.5% as compared to 25.2% a year earlier. Corporate office costs were 9.8% of revenue in both ‘13 and ‘12. Operating income in 2013 was $38.8 million. Our provision for income taxes for the year was 40.8% as compared to $38.1 million in ‘12. For 2013, the tax provision included an adjustment of $393,000 related to the tax true-up for 2012. If you remember that in some years, we have a benefit, some years it’s adverse, typically it doesn’t move our tax rate by more than 1%. That said, we’ve seen based on our mix of business that our state and local taxes will probably be a bigger issue going forward and so for the quarter and in 2014 as -- for the year ‘13, we accrued at effective 40% tax rate, excluding the true-up we expect in 2014 that will be a comparable tax rate. Net income was $17.5 million in 2013 as compared to $18.2 million in 2012. Our diluted earnings per share for the year were $1.45 as compared to $1.53 for 2012. For the year, our same store visits increased 1.5%, our same store revenue increased 1% while the average net rate per visit was down about $0.52. As I noted in the release, we had a nice pick up in patient volumes in the fourth quarter. Unfortunately this was somewhat overshadowed by the $0.09 per share impact from the combination of the payor refund and the tax adjustment. In the release, we gave earnings guidance for 2014. We expect our earnings this year to be in the range of $18.8 million to $19.6 million in net income and a $1.54 to $1.60 in diluted earnings per share. This is net of approximately $0.07 to $0.08 from the impact of having MPPR and sequestration in effect in extra quarter in 2013 as compared to 2013. Additionally as Chris referred to, through March 5, we estimate that our new patient referrals have been probably solid and actually slightly ahead of plan due to adverse weather conditions in many parts of the country. We’ve lost at least 10,000 patient visits and an estimated earnings impact and I stress this, of at least $0.04 per share because if this weather persists, it will be a bigger number than that. The company increased its quarterly -- we announced that it’s increasing its quarterly dividend by 20% from $0.10 to $0.12 per share. And that first dividend for this year will be paid on April 4th to shareholders of record as of March 19.
Chris Reading: Thank you, Larry. With that, we would like to open it up for questions and comments. So, operator, if you would queue that up for us, please?
Operator: (Operator Instructions) Your first question comes from the line of Brooks O'Neil of Dougherty & Company.
Brooks O'Neil - Dougherty & Company: Good morning. I have a couple of questions. First, obviously, 2013 was a very successful year for acquisitions. You expanded the line of credit. Can you just give us a feel for where you stay and with regard to the outlook for 2014 in terms of sort of pipeline and perhaps more importantly appetite from your perspective for continuing to be aggressive about there?
Larry McAfee: Yeah. So, little color and context, those of you who have been on the call in prior quarters and years know that, we don’t give acquisition-related guidance. I would tell you that as I mentioned in my prepared comments that we see continued consolidation in the marketplace. Relative to our appetite, we wouldn’t have increased the credit facility if we didn’t expect to continue to do -- selectively do as we have before, very good accretive deals for us and for the shareholders. And so we see continued activity as you’ve seen from us in the past. It won’t be one a month. We are going to continue to be selective. We continue to be in dialog with good people. The market continues to provide opportunity and as we attract lots of really talented people, I think that’s further catalyst to continue to do the same for the near future. So, I see it as unchanged compared to what we’ve done in the last few years.
Brooks O'Neil - Dougherty & Company: Great. Thanks, Larry. And just a little bit of a detail, but I think when we were looking at our model, obviously there was some quarter-to-quarter impact in prior quarters for discontinued operations. I’m just curios if Larry, you plan to help us with sort of restated quarterly numbers over, let’s say ‘12 and ‘13 or something?
Larry McAfee: Yeah. We can do that. The K will be filed I think by Tuesday, next week, John. So there will be additional information in that. We didn’t have any additional charges related to discontinued ops in the fourth quarter, so it’s kind of looking the rearview mirror thing. But we can give you whatever detail you need.
Brooks O'Neil - Dougherty & Company: I guess, Larry, what I’m speaking about is that I think my associate told me that when we looked at the way you presented fourth quarter last year, the numbers were different than the numbers we have in our model.
Larry McAfee: Correct. Because you’ve got the…
Brooks O'Neil - Dougherty & Company: From the discontinued.
Larry McAfee: Ops at one and not in the other but we did.
Brooks O'Neil - Dougherty & Company: Right.
Larry McAfee: Again, if you look at the K and can give us a call, Brooks, after the K comes out, we can walk through with you what the differences are.
Brooks O'Neil - Dougherty & Company: Cool. That would be very helpful. Last thing, I’m just curios about, I just want to be 100% clear. I’m listening to you properly. I think you are saying $0.07 to $0.08 negative impact from the Q1 impact of MPPR and sequester and four plus cents Q1 impact from weather. So all things being equal, we should take somewhere $0.11, $0.12 or more cents out Q1, but still end up in the $1.50, whatever it was $1.54 or $1.60 range for the year?
Larry McAfee: Correct.
Brooks O'Neil - Dougherty & Company: Okay. Thank you very much.
Operator: Your next question comes from the line of Larry Solow of CJS Securities.
Larry McAfee: Hey, Larry.
Larry Solow - CJS Securities: Hey, Good morning. 4% same-store growth in the quarter, it was actually pretty solid. I realize maybe you had sandy last year, so maybe the comp helped little bit. But what’s your embedded outlook in a rough ballpark, what you think your volumes do in ’14 realizing until October with a slow start with the weather?
Larry McAfee: I can tell you our referrals have been really strong. Despite the weather, still the referrals have been very strong. We struggled little bit as you may expect on the visit side, just with the weak weather that we’ve had. I expect this to be, as I did last year and we kind of pulled it out a little bit late but expect this to be positive year at same store. It won’t have any big environmental catalysts that are negative meaning economy and other things that kind of tepid. But it’s not negative. So, I’m a little bit reticent particularly without having day to day complete granularity with exactly how many businesses were mentioned yet in the first quarter to take a number for the year, but I think I expect us to be positive this year.
Larry McAfee: Maybe negative in the first quarter because of this, but as you know again based on the referrals as Chris alluded to, we should have a better last nine months.
Chris Reading: We’re hoping for a quick thought, just put it that way. We expect to be able to make some hey when the sun shines.
Larry Solow - CJS Securities: Great. And then in terms of the cost cutting issues, I know you had announced early I guess when the MPPR stuff came out in early ’13. You spoke of cuts and may be reaching $5 billion. It sounds like you had some nice progress towards that. But you also sort of left door open, you still have ongoing things, or is it just sort of stuff that annualize this year that you didn’t do in the back half of last year?
Chris Reading: We created some additional tools for our partners to keep things literally dialed in. I’m little hesitant to say that we have a lot of extra room, particularly with the slow quarter. We have people that are full time that we’ve got to keep even if we’re in a state of emergency and the facilities closed. But going forward, we’d come up with I think a tool that I’m really happy with that gives our partner some real-time visual perspective of exactly where they are and helping to better control part-time and hourly people. So, obviously, I haven’t pegged the number, but we continue to focus on being appropriately staffed on a real-time basis.
Larry Solow - CJS Securities: Okay. And then just lastly outlook for revenue per patient, obviously we’re going to get out year-over-year drop in Q1, but sequentially, you’ve been sort of in this 150 -- 105, 106 area a few quarters. Is that the place to start on?
Chris Reading: Yes. I would say I wouldn’t think materially one way or the other we’re going to be far off. It may be up or down a little bit as we tend to be quarter-to-quarter anyway but in that ballpark.
Larry McAfee: Further to your question about cost Chris, discussion about part-time employees. To put that in perspective, as many of you know kind of like nursing a lot of part-time clinical as well as we use part-time receptionists and other admin staff. So as you will see in the K next week, right now we are at 2800 employees but a 1000 of those are part-time. So you now it gives you some flexibility on your staffing model.
Larry Solow - CJS Securities: Right. Thanks so much.
Operator: (Operator Instructions) Your next question comes from the line of Brian Tanquilut of Jefferies.
Chris Reading: Good morning, Brian.
Brian Tanquilut - Jefferies: Good morning, guys. Chris, just a question for you on the last acquisition that you guys did. Obviously, it looks like a really good asset. So as we think about your strategy going forward, is that an area where you would want to get bigger, meaning are you looking for deals such as that asset that you did where it’s heavy on the workmen’s comp side?
Chris Reading: Yes. I would say this, my first short answer is sure. My second answer, which will quality the first answer is there probably aren’t a lot out there like that. I mean, I think, all these are unique. They all have their own flavor. This group had uniquely positioned themselves very capably to almost their entire focus was on comp. It was almost their entire payor mix. We will have opportunity further diversifying that over the year and years to come. And sure, we are obviously interested as we’ve said for a while now in growing our comp base. I think that was fairly unique property. I don’t know that there are a lot of facility out there to just go pick from the work comp (inaudible). But, yeah, I mean, it continues to be a focus for our company.
Brian Tanquilut - Jefferies: Okay. And then related to Larry, your last comment on the revenue per encounter or revenue per visit. I am guessing that that acquisition pose your average up a little. So if you don’t mind just walking us through what…
Larry McAfee: It makes our average net rate about a buck higher per visit.
Chris Reading: So we didn’t get much effect -- we didn’t get really as many effect in last year but going forward.
Larry McAfee: Yes, but as we did our budget for this year, John correct me if am wrong, it has that effect of almost exactly $1 a bit.
Brian Tanquilut - Jefferies: $1, okay, got it, I think from a pricing perspective, how should we be thinking about your commercial trend on pricing right now?
Chris Reading: Yes. I think pricing is, I would say, generally neutral to certainly a little pressure here and there. We’re trying to fight our way through that, offsetting that I think a little bit or may be helping to equalize that is the beneficial movement that we’re getting through our comp program. So I think it’s not an easy environment, but I think for us, it should be roughly a net neutral year or thereabouts.
Brian Tanquilut - Jefferies: And Chris last one for you. As we think about one of your larger competitors had difficulties last year, obviously now out of bankruptcy. I mean, as we look back to the last year and as we look going forward, I mean is there any impact on the industry from that or is there any fallout from that bankruptcy that could potentially benefit your business or just an industry dynamic change because of that?
Chris Reading: No. I don’t think the market looks at that company’s challenge which as you mentioned that, they have come through bankruptcy, I don’t think that gets, I don’t think that impacts the market, I don’t think it impacts people’s view on markets. I think it’s isolated to for that particular group. I don’t think its endemic of what happens or what is happening in the marketplace. So I think people understanding the context.
Brian Tanquilut - Jefferies: Got it. All right. Thank you.
Chris Reading: Thank you.
Operator: Your next question comes from the line of Mitra Ramgopal of Sidoti.
Mitra Ramgopal - Sidoti: Yes. Hi. Good morning. Just a few questions, Chris, you saw some really nice metrics in the fourth quarter relating to same-store? I was just wondering if there is anything specific any initiatives you are doing that, you are having success with?
Chris Reading: Working really hard, everybody is working really hard and we take our responsibility to our shareholders seriously and the sales team and the partners, [Boeing’s] got a five-point sales plan and it has been beating the drum on with everybody. Our partners have great relationship and it’s just a matter of getting them out in front of people and that's a difference maker. So there no magic to us, that’s just the lot of hard work and its execution.
Mitra Ramgopal - Sidoti: And just touching on the sales team, as you look related to expansion there, do we -- should we be expecting a lot more bodies there or you pretty much have the sales force you need in place?
Chris Reading: That's incremental, we are not making any seismic shift with respect to our sales program, they still do wonderful job, still important to us. Many of our acquired partnerships don’t have sales, we continue to find or don’t have sales in the way that we deliver sales and so we see continued opportunity there and obviously, as we get density in some of these markets, we have incremental opportunity but it’s not a seismic shift.
Mitra Ramgopal - Sidoti: Okay. And just switching gears a little, you have been having some nice success with the Fit2WRK initiative? Could you just give us a sense as to the potential you see from that? And again, how already are we, if you have to use a baseball analogy in terms of the inning?
Chris Reading: God bless them. They are doing a great job, really hard working group, a good team effort, great leadership, we are early, we are early. We are still scratching the surface and we are chewing our way through, but it’s early.
Larry McAfee: One thing I will note, with the acquisition we made in December, whereas worker’s comp had been about 17% to 18% of our total net patient revenue, it will jump up to close 20%. Also something else related to commercial and Brian’s question a minute ago, I just did a quick calc. For the year average net patient revenue per visit for commercial meaning primarily obviously insurance payors is right at $99 and in Q4 it was slightly over $100. So there is no, that’s, it can vary from quarter-to-quarter, but there is nothing to suggest, there is a negative trend right now.
Mitra Ramgopal - Sidoti: Thanks. And Larry, as you are on the subject of payor mix, I don’t know if you have handy, what it look like at the end of the year?
Larry McAfee: Yeah. This is a, I’ll give it to you for the quarter and the year, not much difference between the two. In the fourth quarter, commercial was 54%, worker’s comp was 17, but remember we didn’t do the deal until the end of the quarter, Medicare and Medicaid were 23% and other was 6%. For the year commercial was 53%, worker’s comp was 18%, Medicare and Medicaid 23% again and other 6% again.
Mitra Ramgopal - Sidoti: Thanks. And then final question, again on acquisitions, as you look at opportunities, is this going to be driven in terms of factors things like payor mix, geographic expansion, et cetera? I mean, what, probably some of the critical things you are looking for aside from just looking to expand at the nice valuation?
Chris Reading: Yeah. It’s a great question. I appreciate you asking. It’s a not payor mix other than we want diversification. We are looking for great high quality individuals. We are looking for people with integrity, we are looking for people that have a passion, business and the belief that with more resources, they can continue to make a difference in their world and in the market, looking for people with energy and excitement, even in light of some of the challenges for the future. So really looking for high-quality owner operators, clinicians that want a good long-term home and that's really the principal driver.
Mitra Ramgopal - Sidoti: Okay. Thanks a lot.
Chris Reading: Thanks, Mitra.
Operator: We have a follow-up question from the line of Brian Tanquilut of Jefferies.
Brian Tanquilut - Jefferies: Hey, Chris, just a follow-up to Mitra’s question there. So, clearly, you have a pretty good pipeline of, it seems like high-quality deals? But how do we balance the fact that you are looking to cut costs and maintain your cost structure or bring it down actually? And the integration that you are doing with some large deals that you have done in the back half of 2013? So, I guess, my question is from a timing perspective, are there limits to what you can do early in the year because of your capacity to do it plus the integration that’s going out with those last deals?
Chris Reading: Yes. It’s another good question. So, to my way through that, these deals are in different parts of the country. They obviously as Larry referenced, they have different net rates and they have different cost structures. When we buy something, we’re buying into the historic structure that they’ve been operating under. And so in the case of a most -- the deal that we talked about -- very high net rate, little bit higher cost structure, bigger facilities. And look -- because they’re in an intensely focused area on work comp lower productivity. We’re not trying to remake these companies overnight and we’re not doing these deals based upon gathered synergies that we expect to deploy immediately with headcount reductions unlike. I mean, we keep our teams intact and that’s one of the reasons we’re going to grow forward. So that cost numbers is likely to move around a little bit. It’s somewhat depended upon the companies that we bring into the fold, and with respect to our ability to integrate, really proud of our group here. They’ve done a wonderful job. They’ve grown over the years. They are able to stimulate these very effectively with the right demeanor and without having a bunch of plates drop in the process. So, I expect us to be able to continue to do what we’ve done. And you guys keep using the pipeline more, which never comes out of my mouth. So, we continue to be active. I just want to make it clear that we haven’t talked about a certain number. We’re going to have a good year this year I expect in terms of acquisitions. And we’re going to continue to be picky and selective with, who we want to do business with and whether, that’s a pipeline or not, I’m not sure but that’s kind of how we view it.
Brian Tanquilut - Jefferies: Good. Thanks, Chris.
Chris Reading: Thank you.
Operator: Our next question comes from the line of Peter van Roden of Spitfire Capital.
Peter van Roden - Spitfire Capital: Hey guys.
Chris Reading: Good morning, Peter.
Peter van Roden - Spitfire Capital: Just a quick question on operating margins, it seems like year-over-year operating margins were down a little bit. Can you talk a little bit about your ability to grow operating margins at the clinic level, given a tough net revenue price in environment going forward?
Larry McAfee: The margins were down largely because of the revenue reduction. As we talked earlier, we actually took cost out now. We did some large acquisitions last year, so that cause some of the numbers to change around. I would expect our margins to be better this year than last year. Some of that will be additional cost cutting and some of them will just be the change in the mix with more workers’ comp.
Chris Reading: Generally speaking, I don’t think any of us expect any dramatic moves one-way or the other.
Larry McAfee: And honestly as to what Chris was talking about earlier, when we do an acquisition we perform on that based on their existing cost structure. And so the largest acquisition we ever did was Star and when we bought them, their margins weren’t that good. Today, their net rates up significantly, their margins are much better. So, I mean, often times we look at as an opportunity if the margins are slightly lower on an acquisition then our average.
Peter van Roden - Spitfire Capital: Got it. That’s all I have, guys. Thanks.
Operator: At this time, there are no further questions. I will now return the call to management for any additional or closing remarks.
Chris Reading: Thanks everybody. We appreciate your time and attention this morning. You had great questions. Larry and I, and the rest of the group will be here the rest of the day, if you have any follow-up issues. Have a great day.
Operator: Thank you for participating in today’s conference call. You may now disconnect.